Operator: Ladies and gentlemen and thank you for standing by. Welcome to the Manchester United First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) We would like to remind everyone that this conference call is being recorded. Before we begin, we would like to inform everyone that this conference call will include estimates and forward-looking statements subject to various risks and uncertainties that could cause actual results to differ materially and which should be considered together with the cautionary notes in our earnings release regarding forward-looking statements and the risk factors in our filings with SEC. Manchester United Plc assumes no obligation to update these estimates or forward-looking statements. I will now turn the conference over to Ed Woodward, Executive Vice Chairman of Manchester United. Please go ahead, sir.
Ed Woodward: Thank you, operator and thank you everyone for joining us today. With me on the call, as usual, are Hemen Tseayo, Head of Corporate Finance; and Samanta Stewart, Head of Investor Relations. Hemen will take you through the detailed financial results shortly, but first I’d like to say a few words about the quarter and how I believe the strong progress we have made both on and off the pitch are indicative of our forward momentum and bright future. As we said in our last call that there is a real feeling at the Club that we are at the start of something special. While we are still evolving as a team, it is clear that our fans, like us as a Board, are excited and supportive of our players and manager and understand that the team is heading in the right direction. Encouragingly, in addition to the world leading players we have acquired, our first team now includes several new players promoted from our academy, including Blackett, McNair, Pereira, and Wilson. Youth development is a key part of the Club’s DNA and we continue to invest in our academy and scouting infrastructure to attract the most talented young players. According to the CIES Football Observatory, Manchester United’s Academy has produced more footballers currently playing Europe’s top five leagues than any other club in the UK with a total of 36 players, over 6% more than the UK's second club. It’s a clear indication that our efforts have paid off. As an aside, after seven games, our under 21 team is top of the First Division. Off the field during the quarter we signed a record deal with Adi, as we discussed in detail during our last earnings call. But it bears repeating that this agreement, the largest kit sponsorship ever, demonstrates clearly the unique power of our Club to transcend the industry. In addition, we also signed five other deals, inducing Nissin as our global noodles partner. Last week they launched an exciting campaign created in Japanese anime style by world renowned animator Kazuto Nakazawa. His artwork can also be seen in the Kill Bill movies and features Wayne Rooney, Angel di Maria and Robin van Persie. Abengoa is our first sustainable technology global partner which will also help us enhance and develop our sustainable business practices. We also entered into a new regional partnership with an association of Football Federations of Azerbaijan which will provide a permanent Manchester United soccer school’s presence and territory. And finally, we renewed partnerships with Maybank and Gloops. Since the end of the quarter, we’ve announced two new regional partners, IVC is the Club's first Chinese wellness partner and Chi as the Club’s official soft drinks partner in Nigeria. During the first quarter we also concluded a successful transfer window and I want to share some interesting findings relating to the impact on players' profile around the world by joining Manchester United. As per The Daily Telegraph's article on September 18th, Manchester United commands more than 51% of the Premier League’s entire global TV audience, which is watched in over 200 countries worldwide. Di Maria saw a 12 times increase in Google searches on the day of his transfer from Real Madrid. When Falcao signed to the Club, he saw a 10 times increase in searches for his name on Google compared to the day he signed for Atletico. When Daley Blind joined from Ajax in August, his total Twitter following increased by 72%, but his daily rates have increased up an incredible 50 times. On top of the global audience, the Club has 61 million followers on Facebook, 3.8 million Twitter followers with a cumulative total of 87 million followers across all social media. When you add in our 38 million CRM record to those statistics, we’re directly in touch with over 100 million fans. The Club’s media reach is further illustrated by research which suggests that for every article on our own website, and there are about 150 of those every month, a further 160 articles about Manchester United are written elsewhere and 13,500 social media posts are made about the Club. This impressive multiplier effect reflects the popularity of the Club around the world. I’ll now hand over to Hemen to go through the financials.
Hemen Tseayo: Thank you, Ed. I’m here to review our results for the first three months of fiscal 2015, which includes our tour to the U.S. and the summer transfer window. As usual, unless I mention otherwise, all figures are in UK pound sterling. As expected, year-over-year comparisons are and will continue to be for the rest of this year adversely impacted by our non-participation in the Champions League this season. Our total revenues for the first quarter of fiscal 2015 was down 9.9% to £88.7 million with adjusted EBITDA down 1.9% to £20.7 million which exceeded consensus EBITDA primarily due to higher broadcasting revenues, cost savings in wages and lower fixed and variable costs. Consistent with previous announcements, we have included both adjusted net income and adjusted diluted earnings per share as we believe that in assessing the true comparative financial performance of the business it is usual to strip out the distorting effects of debits and credits unrelated to the underlying business and then to apply a normalized tax rate 35% for both the current and prior periods. And we provide a reconciliation of this in the earnings release. Adjusted net income then was £4.2 million compared to £2.2 million in the first quarter of fiscal 2014 due primarily to profits from the disposal of player registrations, lower wages as well as lower fixed and variable costs, partially offset by lower revenues and high amortization. I won’t move through every line item, but will address the items that we believe are worth highlighting on this call. Matchday revenues were down £4.2 million primarily as a result of the non-participation in the Champions League and an early exit from the Capital One Cup, which resulted in one fewer domestic cup home game. Broadcasting revenues declined to £2.5 million, again primarily due to non-participation in the Champions League in the current season. Commercial revenues were down £3.1 million primarily as a result of two things: firstly, a less lucrative preseason tour this year where we played one fewer game than in our tour to Asia last year and we didn’t have complete freedom regarding the state of associated sponsorship rights; and secondly, lower Nike guaranteed revenue and profit share. Despite the lower revenues, however, we were very pleased with the summer’s tour to the U.S. where we set the U.S. record for the largest attendance at a football match with 109,318 enthusiastic fans at the Big House in Michigan and won the International Champions Cup tournament. Turning to the income streams within the commercial sector, sponsorship revenue increased £1.1 million or 2.4% primarily due to an increase in our shirt and other sponsorships, partially offset by the reduced tour revenue I referred to earlier. Merchandising apparel and product licensing revenues declined £2.9 million or 27.1% due to the reduction in Nike guaranteed revenue as a result of non-participation in European competitions in the current season and the extended final period of the partnership which ends of the 31st of July 2015 and thus 12 out of the remaining 13 months will be recognized in fiscal 2015 with the final month being recognized in the first quarter of fiscal 2016. Mobile and content revenue decreased £1.3 million due to the expiration of a small number of our partnerships in territories that we’ve decided to keep clean as part of our broader digital media strategy. During the quarter, total operating expenses excluding depreciation and amortization were down 10.4%, with wages down 6.6% due to the mix of players in and out of the first team and no step up in payments associated with Champions League participation. Other operating expenses declined 18.8% due to a reduction in domestic gate share costs as a result of no home Capital One Cup game this quarter and favorable FX movements. During the quarter we also generated £18.3 million from the disposal of player registrations compared to £1 million in the first quarter of fiscal 2014, which primarily related to the sale of Danny Welbeck. Net finance costs for the quarter were down £3.7 million primarily due to a foreign exchange loss of £3 million on the re-translation of U.S. dollar bank accounts in the prior year quarter. Overall then, we generated an operating profit of £14.2 million in the year, an increase of 52% over the same period last year and the profit for the period of £8.9 million compared with a marginal loss last year. Based on our first quarter results and current visibility, we remain confident that we would achieve our previously stated guidance for fiscal 2015 of revenue of between £385 million to £395 million and adjusted EBITDA of £90 million to £95 million. I will now turn the call back over to Ed for closing comments.
Ed Woodward: Thank you, Hemen. I just want to spend a couple of minutes on some of the reasons we’re excited about the future. Recent announcement demonstrate the value of content continues to rise. Last month alone three new broadcasting deals were announced around the world. First of all, the Bundesliga four-year deal with 21st Century Fox is up 61%, the ITC deal with Star India and Star Middle East is up 150% versus the previous deal and NBA eight-year deal with ESPN and TNT is up an incredible 187%. The deals I just listed are a few examples of how the value of live sports programming has grown dramatically in recent years primarily due to changes in how television content is distributed and consumed. We look forward to getting further news on the total Champions League rights for the 16 to 19 seasons as well as the new domestic English Premier League deal to 17 to 20 seasons and we believe we’ll have good clarity on those rights packages in the first half of calendar '15 with the International Premier League rights following thereafter. People are sometimes surprised when we say that the U.S. is the biggest emerging market when it relates to football. Let me give you some interesting stats from NBC this season. The opening weekend set streaming records with over 8.9 million minutes watched, which is up 56% from the same weekend last year. This ranked at NBC Sports Networks’ most watched Premier League weekend with unique visitors up 42% from last year. Also, the game between Manchester United and Chelsea on October 26th set an NBC record for the most viewed Premier League match across NBC Sports since the broadcaster began televising the Premier League. So as we've spoken before, the value of content is rising. Sport is the must have content and football is the number one sport. Last year we were very focused on the Adi negotiations and a lot of the Club's resources including staff across various departments were consumed with that partnership. With the deal successfully completed and announced in July, our commercial team is now very focused on other new initiatives, including the continuous growth of our sponsorship pipeline and our developments of the full strategy for the rights that will revert to us in August '15, including retail, e-commerce, mono-branded products and soccer schools. We also remain very active on our additional media strategy. We believe this opportunity could be very significant and look forward to sharing our plans with you soon. So in summary, we’re excited about the year ahead both on and off the pitch and we look forward to sharing our [confidence] (ph) with you in 2015. With that, I’ll hand it back to the operator and we're ready to take your questions. Thank you.
Operator: Thank you. (Operator Instructions) Your first question comes from Matthew Walker from Nomura. Please ask your question.
Matthew Walker-Nomura: I've got a few questions, please. The first is on wages and other operating expenses. The wages down 6%, other operating expenses down 18% in the quarter. Can we extrapolate that for the full year? And I think if we do so, particularly on other operating expenses and we extrapolate the revenue trend of say minus 9%, 10%, we clearly get to higher EBITDA than you're forecasting. So if you could explain why that isn't the case, that would be helpful. Secondly is on transfers, particularly around defense. I think on the last call you said you weren't intending to deploy much CapEx in the transfer window. Has that position changed or do you think it's likely to change? And lastly, on Ofcom today, they opened an investigation into how the Premier League rights are sold. They possibly will ask the Premier League to sell more games and they are going to look into talking to supporter's groups about possible effects on attendance. I appreciate that it's quite early, but can you give us some thoughts on those things? Thanks.
Hemen Tseayo: With respect to the first question, then Ed will take the second to. On wages and OpEx, firstly, wages are never -- they are never in straight line through the four quarters largely because of the timing of when players come in and come out, you can’t extrapolate if you want for the across the rest of the year, so don’t do that and we continue to believe that the guidance that we gave will remain in line with respect to that piece. With respect to variable and fixed costs, and again at this stage we would not suggest extrapolating. Part of the reason for the change in that line is there is an element of FX in there together with phasing. So actually there is an element of catch up clearly with respect to our fixed cost in particular. It's very hard to note precisely when they will land. But with the visibility that we've got at the moment, we expect those to still be in line with what we’re expecting for the full year. So at this stage we would suggest and hence reiterating guidance, keeping those lines as you got them and just assuming the shift in phasing. Your second question on transfers, nothing has changed in terms of what I communicated in the last call. We're not looking to enter the market for short-term fixes. However, we have targets that we’re looking at for next summer. Should any of those become available in January, which is obviously rare, we will consider acting. But I think in terms of expectation setting, we will need to recognize that that’s a low probability. Your third question relating to Ofcom, we made the announcement today, we saw it and we expected it frankly following the Virgin Media complaint. We welcome the fact that Ofcom intends to ask all clubs and fan groups for their views. This is a very wide ranging matter. We will be responding and I think our motivations will be what’s best for the Club and for the fans. But all I can say really at this point is to continue to support the Premiere League and the principal of collective seller. I think we have to watch this and we’ll give you a bigger update when we know a bit more in three months.
Operator: Your next question comes from Alexander Mees from JP Morgan. Please ask your question.
Alexander Mees-JP Morgan: My questions, I have two. The first one just with regard to the U.S., you referred to it as one of the key emerging markets. I think given the increased interest in football after the World Cup and your very successful preseason tour, I wonder if you could comment on any opportunities you're seeing for commercial agreements to follow in the wake of that as you develop in the U.S.? The second question relates to a comment that was made on the last call with regard to one of the attractions of the Adi deal being the improved global distribution -- the global reach of Adidas. I wonder if you could just share your thoughts on what that means in practice for the Club going forward.
Ed Woodward: So the first question, U.S. opportunities, I think if you look at our P&L, you can see a lot of plus points really in terms of what can happen here. I mean tour, you mentioned, obviously is a major one, we regularly have successful tours in the U.S. I think if you strip it down, there is a sponsorship opportunity. Both companies in the U.S. are looking to grow their businesses internationally in particular in Asia. That’s a major market for us. There are regional opportunities in the U.S. And the final two I'd say would be digital media. If you look at the U.S. as a developing market, interest levels in soccer as we’ve discussed have been increasing materially over recent years. And obviously the GDP and how accessible fans are there in terms of smartphones and being online, we think there's a big opportunity. And the final one I’d say which may be bit more low hanging fruit is actually merchandise. If you look at Europe and the U.S. as a type of sports industry that's similar size in terms of sponsorship and media, but actually the merchandising industry in the U.S. is much, much bigger and that’s the cultural difference that we believe by making our shirts and our products more accessible to our fan base in the U.S. we’ll see some meaningful growth coming through there. And that's a good link I think into your second question, which was relating to Adi as a distribution. I can’t go into detail in terms of the contract. All I can say is that through the process of the negotiations, we believe that there will be great reach about the distribution network that Adi will bring to bear and therefore our products will be more available to our fans around the world on a breadth and depth basis. But I can’t go into details, if that makes sense.
Operator: And there are no further questions at this time. 
Ed Woodward: Okay. Well, thanks so much everybody and we look forward to speaking to you in February.